Operator: Ladies and gentlemen, thank you for standing by. Welcome to the B.O.S Fourth Quarter and Full Year 2017 Results Conference Call. All participants are at present in listen-only mode. Following Management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded and will be available on the BOS website as of tomorrow. I would like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of changing industry and market trends, reduced demand for our products, the timely development of our new products and their adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now like to hand over the call over Mr. Yuval Viner, CEO of the Company. Go ahead Yuval.
Yuval Viner: Thank you and good morning to all our listeners in the U.S. and good afternoon to those who are joining us from Israel and Europe. We are pleased with year 2017 results. The acquisition we made in 2016 yield in 2017 and positively affected our financial results in the year 2017. Our working plan for year 2018 is to continue to grow our revenues and net income. Our RFID and Mobile division might benefit from the growing demands for technology solution and services for tracing over inventory and logistic centers and retail stores. Our supply chain division might benefit from the continuing of business relationship between the Israeli and the Indian defense industry. Revenues from India grow in 2017 by 44% to $4.5 million from $3.1 million in year 2016. In addition, we continue to seek other opportunities to expand our product offering through acquisition of businesses for the RFID and for the supply chain divisions. Now I would like to turn over the call to Mr. Eyal Cohen.
Eyal Cohen: Thank you, Yuval. We are pleased with the 2017 record results and we still have a lot of plans to execute going forward. We are encouraged by the trading volume following the release of the financial repurchase today but the valuation is still below our expectation. We plan to invest more in Investor Relations going forward in order to expose most story and potential to investor's community. Thank you.
Operator: [Operator Instructions] The first question is from Todd Felte of RHK Capital. Please go ahead.
Todd Felte: Congratulations on a successful quarter and a great year, fantastic results. I wanted to ask a little bit more about the investor relations you just spoke off. I look at the Company and I see a Company that has a book value of over $3 a share and is just now trading at a peak of little bit greater than 9. What are some of the activities that you plan on doing on raising investor awareness?
Yuval Viner: Actually the plan is to hire a IR firm in New York, we have a few candidates and to work on an ongoing business with the IR firm that we will work together on the press releases, they will arrange us meetings and for roadshows in New York. So this is the plan.
Operator: [Operator Instructions]. There are no questions at this time. Before I ask Mr. Viner to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available on the Company's website at www.boscorporate.com by tomorrow. Mr. Viner, would you like to make your concluding statement?
Yuval Viner: Yes, thanks. First, I want to wish you all at the Easter and Passover; this is the time that we celebrate all of us [ph]. Second, I want to thank all of you joining us today and looking forward for our next call that will be at the end of May. Thank you, all.
Operator: This concludes B.O.S. fourth quarter 2017 results conference call. Thank you for your participation. You may go ahead and disconnect.